Gregory Lundberg: Good afternoon, everyone. Thank you for joining our 2013 First Quarter Earnings Call. With us today are Tom Casey, Executive Vice President and Chief Financial Officer; and Brian Coleman, Senior Vice President and Treasurer. Tom will provide an overview of the first quarter 2013 financial and operating performances of CC Media Holdings, Clear Channel Communications and Clear Channel Outdoor Holdings. For purposes of this call, when we describe the financial and operating performance of CC Media Holdings, that also describes the performance of its subsidiary, Clear Channel Communications. After Tom's comments, we'll open up the lines for questions. Before we begin, I'd like to remind everyone that this conference call may include forward-looking statements that involve uncertainties and risks. There can be no assurance that management's expectations, beliefs and projections will result or be achieved or that actual results will not differ from expectations. Please see our annual reports on Form 10-K and our quarterly reports on Form 10-Q filed with the Securities and Exchange Commission for a discussion of important factors that could affect our actual results. Pacing data will also be mentioned during this call. For those of you not familiar with pacing data, it reflects revenues booked at a specific time versus the comparable time in the prior period and may or may not reflect the actual revenue growth at the end of the period. The company's revenue pacing information includes an adjustment to prior periods to incorporate all acquisitions and exclude all divestitures in both periods presented for comparative purposes. It also eliminates the effects of movements in foreign exchange rates. During today's call, we will also provide certain performance measures that do not conform to Generally Accepted Accounting Principles. We've provided schedules that reconcile these non-GAAP measures with our reported results on a GAAP basis as part of our earnings press releases, which can be found on the Investors section of our websites. A webcast of this call and earnings press releases issued today can also be found on the Investors section of our websites, at clearchannel.com and clearchanneloutdoor.com. A replay of this conference call will be available for a period of 30 days. With that, I will now turn the call over to Tom Casey.
Thomas W. Casey: Thank you, Greg, and good afternoon, everyone. When you look at our first quarter results and our second quarter pacing, you can see that our strategic revenue and expense initiatives are really beginning to bear some fruit. Before we get into the financial details of the quarter, I want to highlight with you one recent example of the opportunity Clear Channel is leveraging to monetize our multi-platform reach, and it's the launch of the Justin Timberlake new album, The 20/20 Experience. I'm using this as an example because it shows how we are constantly working with major advertisers to adjust their specific marketing challenges by developing innovative new products, services, content and events that bring new advertising dollars into the company. Two months ago, Clear Channel utilized most of our key assets: radio, online, mobile, outdoor, entertainment, events, contests and talent relationships, in an innovative and coordinated partnership with the national retailer, Target, to launch Justin Timberlake's new album. Clear Channel Media and Entertainment ran a first-of-its-kind 2-minute live road block across 800 stations, in essence, a virtual press conference, simulcast across all the stations at the same time that enabled Justin to both introduce his new album and kick off the exclusive iHeart Album Release Party with Justin Timberlake. The party was streamed on iheartradio.com and aired on 175 stations nationwide. We rebroadcasted on CW Network, and it was attended by fans chosen through our nationwide Clear Channel contest. And Clear Channel Outdoor featured a countdown clock to the party across 399 of its nationwide digital billboards, which, on their own, delivered 65 million impressions. In total, the Clear Channel and Target campaign generated more than 124 million social impressions and more than 600 million unpaid media impressions. This partnership is a perfect example of the creativity, collaboration and power that Clear Channel can bring to bear our marketing initiatives that can help a client like Target achieve its goals. And as some proved points for how well it worked, here are some -- a few of the results: Justin Timberlake's album sold 968,000 copies in the first week; it debuted as #1 on the Billboard 200; it was a #1 in iTunes in 89 countries; and it was one of Target's top 3 best-selling albums in the last decade and has even sold out in certain locations. Now there are many more Outdoor and Media and Entertainment highlights in today's earnings release, but the consistent underlying theme running through all these is how Clear Channel and our sales teams are putting our unmatched array of multi-platform assets to work in coordinated campaigns for our advertisers and monetizing these assets in new and powerful ways. Media and Entertainment offers our advertising partners the largest reach of any media outlet in the U.S., with 243 million people monthly for our broadcast radio stations and our syndication affiliates. This demonstrates that AM/FM radio is still the most powerful audio platform. We're also very well positioned in digital using iHeartRadio to reach our listeners wherever they are and through whatever device they're using. iHeartRadio experienced 31% year-over-year growth in total listening hours in the first quarter, with mobile accounting for over 50% of listening hours. On the Outdoor side, our U.S. reaches 141 million monthly. And internationally, we have 650,000 displays in 29 countries and now with our airport displays in an additional 21 countries. The Outdoor sales teams are making good progress with advertisers who appreciate, unlike TV, Outdoor is unskippable and very cost effective. Outdoor's digital investments are giving advertisers the immediacy and flexibility of other mediums, increasing our competitiveness in the media marketplace. Both of our Outdoor and our Media and Entertainment businesses are well positioned for the trend of consumers spending an increasing share of their time out of their homes as they take advantage of mobile connectivity. So we are continuing to innovate new ways to use our assets to reach these connected mobile consumers more effectively wherever they are. Now financially, the quarter reflected good growth in areas like radio stations, U.S. outdoor and emerging international outdoor markets. We did see some offset by Western Europe in European Outdoor business and also by our Total Traffic business as we continue to integrate that business. We continue to refocus our strategic operational investments into areas that can drive the long-term growth of the business. And during the quarter, we were able to fund growth initiatives with savings from prior period adjustments -- investments. In Q1, approximately one quarter of the investment we used for consulting and other activities to drive organizational change and to improve revenues, enhancing our sales force structure and effectiveness, as well as yield management. The remainder was focused on reducing expenses, including severance and lease-free negotiations that have short paybacks of under 1 year. During the first quarter, CC Media Holdings took another important step in managing its balance sheet by prepaying term loan A under its senior secured credit facilities, which would have been due in 2014. This transaction falls [ph] on the heels of significant capital markets activities in 2012 that extended maturities at both CC Media Holdings and Clear Channel Outdoor Holdings. The company also gained meaningful amendments last year that provided us with flexibility to manage debt maturity profiles and future liquidity. Now let's review the company's performance in the quarter. I'll start with our overall results at CC Media Holdings, and I'll continue Media and Entertainment business, and then discuss the details of our Americas and International businesses at Clear Channel Outdoor Holdings. Lastly, I'll wrap up with a review of our capital spending and liquidity before I take your questions. Please note that our 2 earnings releases provided a detailed breakdown of all foreign exchange and noncash compensation expenses, as well as segment revenues and OIBDAN for the quarter and the full year. Our discussion today will exclude the effects of movements in foreign exchange basis, unless otherwise noted. Now for CC Media Holdings, revenues totaled $1.3 billion, down just over 0.5%, including an adjustment for divestitures in 2012. Media and Entertainment was down $50 million from the first quarter of 2012 or 2%, with solid growth in our radio stations and digital, offset primarily by our traffic business, which we're continuing to integrate. In Outdoor, the Americas business, which includes U.S. and Canada, grew 2% in the quarter, and International rose 0.5%, adjusted for last year's divestiture. Driving these results were the same trends we saw in the fourth quarter, very strong growth in certain geographies like Latin America and Asia-Pacific region, offset by weaknesses in other markets, particularly Western Europe. CC Media Holdings' OIBDAN for the quarter reached $267 million, up 3% from the first quarter of 2012, adjusting for divestures. Including in the OIBDAN this quarter were $9 million of expenses associated with our strategic revenue and cost initiatives, and that's down from $16 million in the first quarter of last year. As you may recall, these investments relate to projects across all of our businesses to improve operating efficiencies and drive future profitability. OIBDAN for the quarter of 2013 also reflects a total of $7 million of legal costs related to litigation described in our filings. This is down from $19 million of legal and other costs in the first quarter of 2012, which were primarily related to Brazil. Now let's move on to our segments in more detail, beginning with performance of Media and Entertainment. Our Media and Entertainment revenues were down 2% to $657 million in the quarter. As I just mentioned, we saw solid growth in our radio stations and digital, offset primarily by our traffic business, which we are continuing to integrate. For the quarter, national sales for our stations were up 2%, outpacing global. Excluding the impact of political advertising, national sales were up 4%, and local was about up approximately 1%. Our fastest growing larger advertising categories were financial services, retail and telecom. We also saw a strong lift in digital revenue, with our iHeartRadio listening hours growing 31% over the fourth -- first quarter of 2012. Although today digital listening for the industry represents only 7.6% of all audio listening, we are excited about the growth of iHeart and its new features, content and other innovations. For example, during the first quarter, we introduced local news, traffic and weather add-ins, allowing listeners to insert local content into their iHeartRadio custom radio experience to give them greater convenience and control over their online listening. On a year-over-year basis, operating expenses decreased $14 million or 3%. Expenses came down on the BMI and ASCAP music license fees and lower costs related to the integration of the Total Traffic business. Partially offsetting these expenses -- expense reductions were increased digital costs driven by greater usage and higher national advertising group expenses due to increased sales. We also spent $1 million on strategic revenue and cost initiatives in the quarter compared to $5 million in the first quarter of 2012. And this continues to be funded, in part, from cost savings on prior initiatives. Media and Entertainment's OIBDAN declined less than 1% to $230 million in the quarter. Operating margins, which is OIBDAN as a percent of revenue, amounted to 32% and was unchanged from the first quarter of 2012. As we look at the second quarter, as of last week, radio station pacings are up approximately 5% compared to the prior year period, and total pacings for Media and Entertainment are up 2%. This is a notable improvement from the first quarter results, as we're seeing improvements in the advertising marketplace and from our Total Traffic integration activities. Now let's go to our Outdoor results, where all the numbers exclude effects of movements in foreign exchange rates and all adjust for businesses divested in the third quarter of 2012, unless otherwise noted. Clear Channel Outdoor Holdings revenues were up $8 million or 1% in the first quarter, with Americas up 2% and International up 0.5%. On a reported basis, which includes foreign exchange and does not adjust for the impact of divestitures, total Outdoor revenues were flat year-over-year. Expenses decreased $11 million or 2%. Most of the decrease related to a $30 million decrease in legal and other costs, offset by higher selling costs and higher revenues and a $1 million increase related to ongoing strategic revenue cost initiatives. Driven primarily by the expense reduction, OIBDAN increased 21% to $99 million, up $18 million from last year. Now let's talk about the Americas segment. Americas Outdoor revenues continues to rise, climbing 2% or $6 million to $287 million in the quarter. This growth was led by higher occupancy and capacity on digital displays, strong growth in posters on new advertisers and gains in airports. Our revenue from digital displays showed double-digit growth. The quarter's fastest-growing larger advertising categories included retail, financial and health care. Americas operating expense fell $4 million or 2% to $191 million, reflecting a favorable product mix, as well as the benefits from strategic cost initiatives we made in 2012. We continue to invest in growth initiatives and operating efficiencies and spend another $1 million during the quarter, about the same level as we did last year. Our solid growth -- revenue growth and good expense management drove a 12% lift in OIBDAN compared to last year, with 33% operating margins compared to 30% in the first quarter of 2012. In terms of pacings, the U.S. business is performing very well. As of last week, revenues at our Americas segment are pacing up 3% for the second quarter compared to the year-ago period, driven by performance in digital, traditional bulletins, posters and airports. Stronger advertising categories include business services, health care and restaurants. And I want to point out that this pacing figure reflects the loss of revenue from the digital billboards in Los Angeles that we had to turn off. For those of you that are not aware, on April 15, we turned off 77 digital billboards in Los Angeles to comply with a court order that invalidates certain digital permits issued to us and CBS for signs located in the city. We're working actively on this issue. However, I should point out that this pacing figure does include our extensive coverage of the greater Los Angeles market, including 3,200 displays in L.A., Orange County, San Bernardino, Riverside and Ventura Counties. Now let's turn to our International results. International revenues rose $2 million or about 0.5%. The overall performance is similar to last quarter, with strength in emerging markets offset by challenges in certain geographies due to weakened macroeconomic conditions. For example, our Asia-Pacific markets were up high-single digits, and Latin America climbed double digits. Europe, however, was down in the low-single digits. But even within Europe, we are seeing pockets of growth, such as Norway, where we're seeing good performance as a result of our transportation system contract in Oslo. So that's good news in the face of a challenging economy in the Nordics overall. Now on a reported basis, revenue declined 2%, which includes the $8 million impact of revenues from the businesses divested in 2012. Operating expenses decreased $8 million or 2% to $334 million. And I want to point out that the first quarter of 2012 had $18 million of legal and other costs related to Brazil that did not recur in the first quarter of 2013. Offsetting this decrease was an increase of approximately $3 million in investments in strategic revenue and cost savings programs, as well as higher costs from new contracts, such as our transportation contract in Norway I mentioned. International Outdoor OIBDAN in the first quarter of 2013 grew 45% to $30 million. Again, while we're seeing good cost control, the absence of the legal and other costs in Brazil mentioned earlier was a significant driver of this performance. We will continue to invest in our company-wide strategic revenue and cost initiatives. In the quarter, our results reflected $5 million of these investments compared to $3 million in the first quarter of last year. These investments remain important to the success of our International business as we continue to position it for higher profitability in a challenging economy. Turning to our pacing data. We continue to have a mixed performance across the international markets due to a variety of economic factors. As of last week, International revenues are pacing down 4% for the second quarter compared to the year-ago period, which is pro forma for divestitures. If we break this number down, we're seeing similar performance for the first quarter in terms of geographies, with Asia Pacific and Latin America outperforming Europe. Now let's move to capital spending and our balance sheet. CC Media Holdings capital spending for the quarter totaled $62 million, including $39 million at Outdoor. Spending in Americas of $30 million was for new advertising structures, such as digital displays. We added 11 this quarter for a total of 1,046 digital displays across the U.S., including the 77 turned off in Los Angeles. In addition, $26 million of capital expenditures at International was for new advertising structures, including billboards, street furniture and the renewal of existing contracts. For CC Media Holdings, we continue to expect total annual 2013 capital expenditures of approximately $350 million. As of March 31, CC Media Holdings debt totaled 200 -- excuse me, $20.4 billion, down $321 million from year-end, reflecting the payment of certain maturities during the quarter. Senior secured leverage, as defined under Clear Channel's credit agreements, at the end of the first quarter was 6.0x, based on consolidated trailing 12-month EBITDA of $2,021,000,000 as of Q3 2013, which is up about 4% year-over-year. This calculation of EBITDA is detailed in the press release for your information and make certain adjustments pursuant to the credit agreements. Cash on the balance sheet amounted to $722 million as of March 31, 2013. The decrease from year-end reflects our $312 million payments of 5.75% senior notes, which matured during the quarter, as well as $847 million of prepayments of the outstanding amounts of term loan A under our senior secured credit facilities, which was scheduled to be repaid in 2014. In addition to cash on hand, we funded these activities with issuance of $575 million of priority guaranteed notes due 2021 and $270 million of draws under the ABL facility. Clear Channel Outdoor Holdings debt was unchanged at $4.9 billion, and leverage under its indentures was 6.3x on a total consolidated basis and 3.5x on a senior debt basis. Cash on the balance sheet totaled $547 million. Looking ahead, CC Media Holdings has $67 million of remaining maturities in 2013. Maturities in 2014 consist primarily to $461 million of 5.5% notes and maturities in 2015 consist primarily of $250 million of 4.9% notes. Clear Channel Outdoor Holdings has no significant maturities until 2020. And we're comfortable with these maturity schedules in the near term, and we'll continue to take disciplined, proactive steps to address our capital structures and liquidity. Now you may have noticed that earlier today, we began filing SEC reports for Clear Channel Capital I, LLC. Clear Channel Capital I owns 100% of Clear Channel Communications and guarantees certain of Clear Channel Communications outstanding debt. This additional filing was requested by the SEC to include Clear Channel Capital I, who is a guarantor of certain Clear Channel Communications debt. I'd like to point out for your analysis that the financial statements of the Clear Channel Capital are substantially the same as the financial statements of Clear Channel Communications. The primary difference is the name but not the amount of shareholders' ownership account on the balance sheet. All these filings are available on our public websites. I'll close by saying that we're pleased with the innovation and operating discipline that drove the sales momentum and cost containment we're building in both our Outdoor and Media and Entertainment businesses. You'll be seeing us make additional strategic investments in growth areas and fund some of these with the benefits we're already seeing from prior initiatives. And we'll continue to refocus our Outdoor business in Europe. Throughout the company, both at Outdoor and Media and Entertainment, we feel very good about our competitive position. And under Bob Pittman's leadership, we all are very focused on showing our advertising partners the unique ways we can help them achieve their goals. Thank you for your time. And operator, please open the lines for questions.
Operator: [Operator Instructions] The first question comes from the line of Jason Kim with Goldman Sachs.
Jason K. Kim - Goldman Sachs Group Inc., Research Division: I'll start with the business question first. Can you talk about your plans to monetize investment you have made in the business over the past year or so more aggressively? And specifically, if you can comment on the iHeartRadio custom radio platform and as you continue to see the user base increase a lot, like when do you start thinking about generating more revenues out of that platform?
Thomas W. Casey: Well, Jason, we're very excited about what we're seeing in the growth at iHeart. As we mentioned, we saw terrific growth for the quarter, up 31%, and so we're very excited about that. And I think that as you see us continue to bring iHeart into the coordinated effort with our businesses, we see opportunities to continue to grow that revenue stream. For example, digital revenue this quarter was up strong again. It continues to be one of the fastest-growing areas in the company, and we see that as an opportunity for us to continue to grow our revenue and take additional share. So we're pretty encouraged with that. And I think it's -- as we continue to see the growth, we see opportunities to take advantage of the growth in the digital space.
Jason K. Kim - Goldman Sachs Group Inc., Research Division: And just a clarification question. So is the pacing up 5% for radio by CCME pacing up to the delta, is that still the main -- the driver of the difference is mainly the traffic business?
Thomas W. Casey: Jason, can you repeat that?
Jason K. Kim - Goldman Sachs Group Inc., Research Division: In terms of the pacing numbers for the CCME in total, which is up 2%, the radio, the stations only, the pacing was up 5%? So the 5% and 2% delta, is the difference still mainly driven by the traffic business?
Thomas W. Casey: Yes, yes, sorry. As we talked during the first -- back in the year-end earnings, we were definitely seeing challenges in the year-over-year comps, as we talked with some affiliates out of our traffic business, and we'll continue to merge the inventory and the systems and the sales forces together. And so we saw continued improvement in that area for the rest of the quarter. We'd also talk a little bit about some softness at the start of the year for PRN, and that has really modulated back, and we feel good about that business. So the biggest driver really is the traffic business. As you can see in the 2Q pacings, we're continuing to see continued improvement in the underlying core business but also good improvement in the traffic business as well.
Jason K. Kim - Goldman Sachs Group Inc., Research Division: Great. And if I can ask just one question about the capital structure. So clearly, you've made significant progress with your balance sheet and now 2014, from a maturity standpoint, is pretty much a non-event. Now the market is very strong right now. And recently, at our conference, you've also alluded to having some preliminary discussions with the LBO bondholders in terms of how to manage the 2016 maturities. So I just wanted to see if there's anything you can share with us on that front, whether it's on the LBO bonds or on the bank debt side, how are you thinking about starting to address 2016 debt maturities.
Thomas W. Casey: Well, Jason, as we've talked and I think we've been consistent on the phone over the last few years, we see how robust the market is right now, and we continue to be very disciplined and proactive in managing through our debt maturities. You saw us proactively prepay the 2014. Again, that opens up a lot of opportunities for the company. We have a number of amendments in place from our transactions last year. And so we're well positioned, we think, to take advantage of market opportunities when we see them. And I think that posture would continue. I think -- I can't comment on specific transactions, and I think you know that we've always been proactive in our management of our capital.
Jason K. Kim - Goldman Sachs Group Inc., Research Division: Got it. Just another clarification -- or well, not a clarification but just a follow-up question. The loan-to-bond exchange on the bank debt to the PGN side, I mean, is there any reason why the max has to be kept at $5 billion?
Thomas W. Casey: Well, currently, it's $5 billion contractually, of which we've used a couple of billion. I think is your question maybe is that something we can go out and seek an amendment, and do we think it'd be difficult to obtain? If we were to go above that level, we would need to seek an amendment. However, I don't think it would be something that is going to be difficult to obtain if the trade was worthwhile because the folks that would vote on the amendment would be those that would participate in the exchange. So contractually, it's limited to $5 billion. I don't think that's a problem as long as there's a mutually beneficial trade opportunity.
Operator: Next we go to the line of Marci Ryvicker with Wells Fargo.
Marci Ryvicker - Wells Fargo Securities, LLC, Research Division: On the Americas side, I think this is the first time you've actually called out traditional bulletins and posters as being relatively strong, and I'm referring to the Q2 pacings you provided. So is -- I guess are these products healthier? And is this a function of higher ad rates? Are you finally seeing a turn in traditional billboards?
Thomas W. Casey: Yes. We saw good strength in 1Q as well in both posters and bulletins, and obviously, that has been a difficult product over the last couple years. And so I would say that we're seeing some good, good momentum through the quarter, and you can see that in the pacings at 3%. And that's with the pulling out of the 77 boards. So the traditional business is very healthy, and that's including both our national and local. Both of those are strong.
Marci Ryvicker - Wells Fargo Securities, LLC, Research Division: Is it rate, or is it occupancy, or is it both?
Thomas W. Casey: I think we're seeing it really in both. Clearly, occupancy has been -- it was a big driver in the first quarter, but we're seeing rate improve as well.
Marci Ryvicker - Wells Fargo Securities, LLC, Research Division: Okay. And then moving to radio, the pacings, obviously, is very strong. Is that both national and local? Are they pacing similarly? Or is one outpacing the other?
Thomas W. Casey: In the second quarter, national continues to be very strong, but we're seeing good growth in local as well. With the efforts we've been putting on our national business, we continue to see very strong adoptions with some of the larger advertisers and with our connections business really reaching out specifically to advertisers, and they have a very good pipeline and we're encouraged. They continue to see very, very good strong growth. We saw strong growth in the first quarter, as I mentioned in my prepared remarks, and I think 2Q, right now, with probably a similar profile.
Marci Ryvicker - Wells Fargo Securities, LLC, Research Division: And then my last question. On the strategic investment side, I think I got the numbers right. There was $1 million in the Americas, $6 million in International and then another $1 million in radio, so $8 million total for the first quarter?
Thomas W. Casey: Yes, I think it was -- there's a little bit in corporate as well, so it was $9 million in total.
Marci Ryvicker - Wells Fargo Securities, LLC, Research Division: Do you -- can you give us a number that you're expecting to spend in 2013?
Thomas W. Casey: I can't. This is something that -- we've been trying to explain to you that we see opportunities throughout the year to accelerate certain activities. I didn't mention, I think we had $76 million last year. I don't think we'll be at that level this year. But with the activities that were motivating our teams to accelerate the activities, I don't have a specific number to share with you. Obviously, we forecast it internally, but these are -- timing is always an issue on when we get -- when we do these things. But I would expect it, it has to be lower than the $76 million we had last year.
Operator: And next we go to the line of Avi Steiner with JPMorgan.
Avi Steiner - JP Morgan Chase & Co, Research Division: First off, given how strong pacing is, I wanted to focus on the expense side and, really, how we think about expense growth or declines going forward. It seems to me, and I don't want to pick on one quarter, but it seems to me you have a tough comp in the second quarter royalty rate refunded, et cetera. So maybe if you can help us in terms of how to think about expenses for the coming quarter and year, and then I'll come back in with a couple.
Thomas W. Casey: Well, I think when you think about expense management, I can tell you that we have a incredible focus on that across the globe. And I'll break it down into some pieces. But internationally, obviously, we're resizing that business. We're very encouraged with them coming out with 0.5% growth. We're seeing, later and later postings there. And so that is a challenging environment. The team has done a very good job. And on the same side, they're doing a terrific job of managing their expenses, really making sure that all discretionary expenses are curved and resizing that business for the slowdown we're seeing in certain economies. So internationally, I'd say that their continued focus and, again, the diversification of that business, we want to continue to invest in areas like Latin America and China and Australia, areas that are growing. So it's a bit of a two-speed economies that we're dealing with there. And again, the team is doing a nice job of investing in the high-growth areas and really controlling costs in some of the more challenged ones. In the U.S., what you're seeing is some of the activities in the Outdoor business of all the expense management work we did last year. We talked quite a bit about how much money we invested last year, $76 million, and some of that was in the Outdoor business in the Americas. And again, you're starting to see that reflected in their expense management. The team has done a nice job of managing their expenses and getting the organization in line and driving efficiencies. And you can see the pull-through and the operating leverage that business can result in with some additional top line improvement. And then finally, when you look at CCME, this has really been an issue of funding the growth. We are funding significant investments in our national business and in the digital area. And so that is -- really, the view of Bob and John is to find those savings across the business in order to fund the highest, fastest growth areas in the company. And again, we're starting to see those benefits come through with our -- the accelerated growth we're seeing in national.
Avi Steiner - JP Morgan Chase & Co, Research Division: Okay. And then if I could take it to the Outdoor side, can you talk briefly about the L.A. billboard dispute, maybe how we should think about that? And I believe you said it's baked in [indiscernible] already, but how we think about the potential revenue and EBITDA impact there, and I want to just be clear that I interpreted your -- what you said right in terms of giving the L.A. billboard count outside of the 82, that none of those other billboards are impacted by the dispute?
Thomas W. Casey: Right. Well, keep in mind, we obviously have a big business. We're in 30 countries. With 108 in the U.S. alone, we've got over 1,000 digital billboards; 650,000 internationally. So in the grand scheme of things, this is a small piece. Obviously, it's impactful for the L.A. business and one that has obviously been significant for them. But we're going to continue to work with the city to attain permits. While we're disappointed, we are complying with the order, and we are working closely with the city. And we have a number of actions and options that we're working on. So it's a little preliminary to be specific. But we're exploring new digital permits around the L.A. area. And again, we have good footprint there with our traditional bulletins and posters and in all the surrounding areas, over 3,000 sites. So I feel encouraged that the business is performing very well, 3% pacing growth even with that unfortunate development in L.A. And the business is doing very good. As I mentioned, the traditional posters and bulletins are quite strong. So I'm not going to provide specific details on the impact of L.A. We don't disclose that level of detail. But I would say that the business is healthy despite that, and we're working through it as fast as we can.
Avi Steiner - JP Morgan Chase & Co, Research Division: Great. And then if you've said this earlier, I apologize, but is it fair to think that the delta between your core radio performance, which has been very strong in CCME, kind of narrows and becomes the same in the second half, keeping all this thing equal is that when comps get easier on the traffic side?
Thomas W. Casey: I think, yes. We've told you, we bought this business and certain affiliates remain until their renewals and exits. So we have -- we do have those -- that comp that will improve throughout the year as those -- some of those contracts rolled off and we continue to improve our -- some of the integration activities or finish those. So I think that's right. I think as the year progresses, we should see that business moderate.
Avi Steiner - JP Morgan Chase & Co, Research Division: Okay. And very last question for me. Away from the obvious bank debt exchanges that you can still do, just a question on the LBO notes, and specifically the AHYDO. Is there -- can you make that payment early or can you escrow the $57 million related to 11% notes ahead of -- and basically deal with those notes ahead of the August payment. And then as a kind of related question, is anything preventing you from using any cash sitting in an unrestricted sub, as part of any liability management exercise?
Thomas W. Casey: I'll take those in reverse order. We can use cash and unrestricted sub pretty liberally, and could certainly return it to a restricted subsidiary and use it to find liability management activities. You may be asking something different, we'll be -- we do something ally [ph] in restricted sub, and I'll probably need a little help understanding what the question is, if it's that direction. But certainly, we can, and have, moved money out of our unrestricted sub to support restricted initiatives. The first question is a little more esoteric, can we do something with the AHYDO payment? Presumably, this is a situation where notes would exchange into a new note, but you -- we would do something with the AHYDO payment in advance of that escrow and our payment advance. I don't know. I don't see why not. But we haven't had legal discussions about how to handle that. So I would softly say yes, without kind of that background and support.
Operator: All right, next we go to the line of Doug Arthur with Tracey Young Evercore.
Douglas M. Arthur - Evercore Partners Inc., Research Division: Figure on CapEx for the entire company. It looks like CapEx in the Outdoor business was down pretty significantly year-over-year in Q1. So any guidance you can give out on kind of what that might look like for the year? And then, I mean, this, sorry if it's beaten around a little bit on this call, but there are a lot of moving parts to the cost structure in the Americas and International. And I'm just trying to -- and obviously, you may do some more restructuring as you see fit, but I'm trying to get a sense of the kind of underlying cost trends in both Americas and International for the balance of the year.
Thomas W. Casey: Okay. On the CapEx, I gave an update that we're still probably in line with $350 million for the year, that -- kind of our target that would be all in. The big users give capital tend to be the Outdoor businesses and from a year ago, I mean they're down slightly, couple million dollars, but there typically is not a significant capital outlay in the first quarter. So not much of a story other than, we continue to do investment in the business, and we're still thinking that's about $350 million or so. As far as the operating expenses, as I commented earlier, we continue to see opportunities as we drive for higher and higher margins in our International business. I think the difficulty is obviously these markets are challenged in Europe. We've been fortunate to see the offset with some of our developing markets, seeing very strong growth in Latin America and China and Australia. And so it's hard to pinpoint what that operating expense profile may look like, other than to say, as we're seeing slowdown in Europe, we are aggressively going after those expenses. At the same time, we are investing in some of the higher growth areas. So it is a balancing act to try to manage that portfolio, and we've been fortunate to see the developing markets perform strong enough to offset some of the slowdown we're seeing in some of our larger markets in Europe.
Operator: And next we go to the line of Lance Vitanza with CRT.
Lance W. Vitanza - CRT Capital Group LLC, Research Division: A couple of questions. The first is, it looks from our perspective, like you're doing a very good job on the top line, but I want to talk about margin. EBITDA was lighter than we, at least, were looking for. And I'm wondering, is the business just becoming less profitable? You focus more on news, talk, sports and streaming, and so forth, in order to stay ahead of those curves?
Thomas W. Casey: I wouldn't say so. I think, keep in mind that first quarter is always our lowest revenue quarter. And so you're always going to see some margin compression in the first quarter, because we obviously have a big fixed cost base, but we feel very good about our top line growth, and I want to see that momentum continued throughout the year, but I would say our expense focus is -- has been pretty intense over the last couple of years, I don't think we've lost that intensity, and I would state that our margin expansion has always been a goal. We've talked a little bit in the past that we've seen some margin compression due to the mix of business in the Outdoor business, because of the growth in airports. But even that, that's mostly a mix issue, not a, an expense issue. So I would say we feel pretty good about it, but I would say it's mostly due to some of the -- just the shallowness of the first quarter revenue number.
Lance W. Vitanza - CRT Capital Group LLC, Research Division: Okay. And then with respect to traffic, is it possible to quantify the impact of the ongoing integration versus Cumulus, essentially in-sourcing its business?
Thomas W. Casey: We don't get into that level of detail. I think it just wasn't Cumulus, there was other affiliates as well that also were terminated or left. And so, again, as part of the acquisition, we always anticipate these things, so it's not a value issue, but it is a year-over-year comp -- comparable issue. And we're actively managing this, the teams are focused with -- we understand that the pressure it's putting on the top line but, underlying we like the business, and continue to see opportunities to grow the top line there.
Lance W. Vitanza - CRT Capital Group LLC, Research Division: Great. And then lastly for me. Could you -- the shareholder litigation, could you walk us through the settlement in as much or as little detail as you think is necessary?
Thomas W. Casey: Well, yes, I think, first of all, we're excited that both companies have come together and kind of a dealing with this issue. We're pleased that the parties have made progress towards it and I would say that the details, specifically, we laid out the memorandum of understanding in our 8-K filed on April 3. I really encourage you to read through that because there's a lot of details and nuances of the memorandum. That obviously has to be approved and by the Delaware Chancery Court. We expect that to happen sometime in the third quarter or so, but I encourage you to pull that down and take a read through all the details.
Lance W. Vitanza - CRT Capital Group LLC, Research Division: We did that, and I guess just in my read was, that if you look at where your bonds are trading, it didn't look like there is going to be much of an impact to your liquidity. Is that the right take away?
Thomas W. Casey: Yes, right now there's the tentative -- the memorandum of understanding would indicate that $200 million dividend. Keep in mind that the net impact to the parent company is only the minority share of that, which is only about $22 million, given that CCMH owns 89% of CCOH. So pretty, pretty nominal liquidity impact for the parent, due to the small public shareholders percentage.
Operator: And next we go to the line of James Dix with Wedbush.
James G. Dix - Wedbush Securities Inc., Research Division: A couple of things. Just in terms of your pacing data for the second quarter. Does that pull out the L.A. signs from the 2012 base, as well as obviously the second quarter of this year? Or are those included in the 2012 base...
Thomas W. Casey: Yes, it's a great question, James. I did not exclude them from last year. If I did, the pacings would be even that much stronger. And so, just to give you an idea of what we're seeing, the 3% is a comparative with the signs in for last year and the signs out for this year.
James G. Dix - Wedbush Securities Inc., Research Division: Okay. I suppose I could be tricky and ask for what roughly that difference would be. But let me do -- would it be a much -- a material difference, do you think in the pacing number? Or I mean, or kind of a rounding error?
Thomas W. Casey: Look, I think we look at this business as a portfolio. As we said, is significant for the LA market, but in total, that's a -- on a very large revenue base, and it is -- it's not material to the company. It maybe material to a specific pacing number, but then again, that's not what I'm -- we're trying to give you a sense of where the business is going.
James G. Dix - Wedbush Securities Inc., Research Division: Okay, okay. Great. And then in terms of your growth in the first quarter, was there any material difference in the Americas between, like your top 10 markets and then your smaller markets, in terms of the growth that you were seeing?
Thomas W. Casey: So as I mentioned, actually, we're seeing both the national and local up pretty strong. And so I'm not seeing any differentiation by size and market.
James G. Dix - Wedbush Securities Inc., Research Division: Okay, great. And then in International, I mean, when did you start seeing the difference in the pacing? Is that something which was start -- kind of deteriorating over the quarter, due to the weakness in Europe, because it is a little bit lower pacing than the pacing outlook you gave for the first quarter a quarter ago?
Thomas W. Casey: I would say, I did mention earlier, I think that what we're seeing is just later and later pacings, later postings, rather. And so the visibility is challenging. We gave a negative pacing number back in February at our earnings call. It's slightly larger this quarter, but again, we're just dealing with later and later pacings, and postings. And so, we've been we've encouraged with the business being able to manage its way, right to the end. I will point out that all the things we did last year and the prior year before that, of all of the sales force effectiveness work, all the pricing work and yield management work we did. That's really what's helping us manage through a very, very difficult environment. So all those investments that were done in the previous couple of years is, it's got the team focused and is really helping manage through that challenging environment.
James G. Dix - Wedbush Securities Inc., Research Division: Okay. And then just 2 other quick ones, hopefully. The outlook for the -- the current balance of the due from Clear Channel Communications loan was 720, 7.6 as of quarter, and then pro forma for the settlement, is it just $200 million less?
Christopher William Eccleshare: Yes, that's right. So the settlement goes according to the MOU. There'd be a $200 million demand. So it'll reduce by $200 million. And there'd be a contemporaneous $200 million dividend, which would not have any impact on the intercompany note.
James G. Dix - Wedbush Securities Inc., Research Division: Okay. And then is the outlook for the growth of that note or just how it fits into the overall relationship between the parent and the -- and Clear Channel Outdoor really any different after the settlement is posted before? Or should we be thinking about it, fairly similarly?
Christopher William Eccleshare: I think it's pretty similarly. Excess cash flow would continue to be swapped.
James G. Dix - Wedbush Securities Inc., Research Division: Okay. And then, last thing. Just on -- do you have any updated thoughts on the potential for REIT conversion, now that at least CBS is -- indicated has made a filing with the IRS regarding getting a ruling on a potential conversion for its Americas business?
Thomas W. Casey: Yes, as I've said on some of the other calls and some of the conferences. We continually evaluating the conversion. We don't see any immediate need, given our tax position, but it is something that we're looking at, obviously we have a different capital structure than them, and they have a different objective with their spin-off of their business. So I think it's something we'll continue to evaluate and as the letters come in and we get better clarity, we'll give you some additional insight as we go, but right now, we don't feel disadvantaged, given we're not paying -- we're not cash taxpayers, given our NOL position. And so we have the ability to wait and see how this all plays out.
Operator: Next we go to the line of David Miller with B. Riley.
David W. Miller - B. Riley Caris, Research Division: After all that, I think most of my questions have been answered. But I just have one on expenses. Looks like you guys blocked and tackled on expenses, much better than you usually do. America is down 2%, International down 4%. I know you guys mentioned in your prepared remarks that a lot of that was due to essentially, it's become a tough comparison, if you will, due to the litigation last year. But are there other factors, I mean, if you could just detail it for us, is technology, less people, more efficiencies? If you can just profile the expense declines, that would be great.
Thomas W. Casey: Yes, we talked, I think at year-end, we tried to pull that together, and I think it was about $76 million, again on restructuring activities. About 50% of that, if I recall, was in areas of, call it, accelerated productivity on the sales side. So sales force effectiveness or yield management activities, and about half of that was in expense takeouts. And if you recall, I had mentioned that, on the expense side, the payback on that, typically comes pretty quick. These are severance-related activities or take down-related activities, things that -- lease renegotiations, those types of things. And so that -- what you're seeing is, some of that benefit coming through the financials and that's something that's why we continue to make those investments, because the payback is so quick. Similarly, this quarter, with the $9 million of I'll call this strategic initiatives or costs, a good chunk of that again, about half of it again, is in that consulting type of expenses to drive those initiatives across more and more countries in CCI. And again, those typically have paybacks on the top line. Again, that's what -- those are just some of the areas that are helping us manage through this difficult environment, where our sales force are really focused and have the pricing tools. And then about half of it relates to severance, REIT lease negotiations, takedowns, those types of things. And those again have pretty quick payback. So it's been running about 50-50. And what you're seeing is the benefits as those start to come through.
Operator: And next we go to the line of Amy Stepnowski with the Hartford.
Amy Stepnowski: As someone else said, most questions have been answered. But just one quick administrative one, can you just give us any further insight as to why you now need to file for Clear Channel Capital One? Obviously, it hadn't been a change recently, that I understand in the shareholdings, but you now have to file, is there a reason, a transaction that might be driving that? Or anything in particular?
Thomas W. Casey: No, no. There is no transaction that is driving this. This is just the result of ongoing reviews by the SEC. They requested us to make this adjustment, we are. They're a guarantor of the debt. And so we complied with their request. And we'll start to continue -- we have and we will continue to disclose those, but really nothing, nothing to speak of. Clear Channel Capital One guarantees the credit facility debt, the CCU PGNs and the LBO notes. So basically everything other than the legacy notes. So they just asked us to make them a separate filing.
Operator: And next we go to the line of Davis Hebert with Wells Fargo.
Davis Hebert - Wells Fargo Securities, LLC, Research Division: I'll try and squeeze these in pretty quick here. So in the context of your radio and media entertainment pacings, where does the network fall? Whether it's towards the plus 2 or plus 5, given I think of the -- you're started off, a little bit soft?
Thomas W. Casey: Yes, I think that -- specific question. I would say, it's definitely more of the plus -- on the plus side than on the minus side. So I would say that we're continuing to see the recovery of the network business. We really saw that throughout the first quarter. If you remember, we acknowledged that really was a slow start for the year. And that business is starting to perform as it normally would, as we've seen some better momentum in the market.
Davis Hebert - Wells Fargo Securities, LLC, Research Division: Okay. And then touching on M&A. Broadcast TV has been very active, radio relatively quiet. So I just wanted to ask how you feel about your station makeup? And then if the M&A environment picks up, would you look to divest anything? Or maybe acquire something?
Thomas W. Casey: We have acquired a couple of AM stations last year, WOR in New York and also one up in Boston as well. So we have been acquiring certain tuck-in acquisitions. We have no plans at this time to exit any of the -- any of our stations. Clearly, there's a competitive advantage for us to have the number stations we have, of being able to deliver local content and local advertisers and leverage our overall scale. So we have no plans at this time in the investor area.
Operator: And the final question comes from the line of Andrew Finkelstein with Barclays.
Andrew Finkelstein - Susquehanna Financial Group, LLLP, Research Division: A couple of questions. One, maybe you could talk about how the company feels right now about their liquidity position? And specifically, I'm thinking about the ability to take on more interest expense. Should there be any more debt swaps of any kind, going forward?
Thomas W. Casey: Brian, you want to take that? I mean, and I'll add some thoughts.
Brian Coleman: Yes, sure. Well, we're obviously very focused on liquidity and the ability to continue to generate liquidity in the business. Our balance sheet cash is lower due to some payments during the quarter and then, obviously it's coming off our weakest operating quarter. That being said, we don't have any significant debt maturities until late, I think, it's September 2014. It was in the higher payment in August. But other than that, the runway is clear. We look to continue to grow free cash flow. We have availability under our ABL facilities. And continue, over time to improve the business free cash flow with additional levers from distributions from -- of excess cash from subsidiaries, working capital initiatives. A lot of activities that we can kind of look to. We've cleared the runway, continue to operate the business. We feel that we have enough free cash flow and liquidity to meet all our operating needs, moving forward. But it is a balance. We've always taken a balanced and sequenced approach to refinancing any manner that could be supported by our liquidity, and I think we'll continue to do that. Balancing that with refinancing risk can take -- being opportunistic in attractive markets. So I think we feel pretty good about our liquidity position. We continue to focus on it. And every capital structure move we make, reprices to some -- in some fairly attractive -- it's fairly attractively priced at. That's why we've been sequenced and deliberative in the past, and we'll continue to take that view going forward.
Andrew Finkelstein - Susquehanna Financial Group, LLLP, Research Division: One follow-up from an earlier question, how much cash right now is in the unrestricted subs if it could be used, with regards to the high-yield notes?
Thomas W. Casey: Well, I don't feel we need to separately disclose it, but it's calculable. And so I can go ahead and, at March 31, it was right around $100 million.
Andrew Finkelstein - Susquehanna Financial Group, LLLP, Research Division: Okay. And then just one small question. The sale of the Eon group and International, should we assume that it's roughly the same amount of revenues and expenses that come out every quarter, going forward, for modeling purposes?
Thomas W. Casey: Yes, approximately that's right. And we'll be giving you that each quarter, just so you have the true run rate.
Andrew Finkelstein - Susquehanna Financial Group, LLLP, Research Division: Okay. And then not to beat the dead horse, Tom, but I think the Westwood One revenues that you were giving us were in the $28 million per quarter, the 3% move in the pacings for the second quarter on the Entertainment business is roughly $25 million. So I mean, I'm hard pressed to think that Westwood One has been sort of wiped out there. Is it a larger traffic business that is being impacted, that's doing the dragging down there? Or am I not thinking about that right? Because this sort of scale of the stations versus traffic has been a question that we've gone a lot over the last quarter?
Thomas W. Casey: Yes, keep in mind what we did is we bought the traffic business and integrated it with our existing business. And so there's been quite a bit of activity to resize that business and get the sales forces together, consolidate the inventory. And so there's been just a lot of work to position that business properly. So I think that, as you know, we're working hard at it. And we'll continue to make sure you understand the -- how the broadcast business is going, because that's really performing quite well, as we work through the traffic integration issues. So I feel -- we'll continue to break that out for you, until we don't need to anymore. But that is -- it's a drag on the current core broadcast, but one that, again, we can mitigate with the strengths we're seeing in national, and recovery in PRN and digital. So and then again, a lot of that is just comp year-over-year, where you just don't have the same affiliate levels.
Andrew Finkelstein - Susquehanna Financial Group, LLLP, Research Division: But it's a bigger traffic than just the Westwood One?
Christopher William Eccleshare: Yes, it is.
Thomas W. Casey: Okay, everyone. Thank you very much. I really appreciate it. We appreciate your questions. And we look forward to talking to you again.
Operator: That does conclude our conference for today. Thank you for your participation and for using AT&T Executive Teleconference. You may now disconnect.